Operator: Good day, ladies and gentlemen. And welcome to the BioCryst First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and our instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to introduce to your host for today’s conference, Mr. John Bluth, Senior Vice President of Investors Relations and Corporate Communications. Sir, you may begin.
John Bluth: Thank you, Ashley. Good morning, and welcome to BioCryst first quarter 2019 corporate update and financial results conference call. Today's press release and accompanying slides are available on our website. Participating with me today are CEO, Jon Stonehouse; Chief Medical Officer, Dr. Bill Sheridan; CFO, Tom Staab; and Chief Commercial Officer, Lynne Powell. Following our remarks, we’ll answer your questions. Before we begin, I want to direct your attention to slide two, which discusses our use of forward-looking statements and potential risk factors regarding an investment in BioCryst. As detailed on the slide, today's conference call will contain forward-looking statements, including risk statements regarding future results, unaudited and forward-looking financial information, as well as the Company's future performance and/or achievements. These statements are subject to known and unknown risks and uncertainties, which may cause our actual results, performance or achievements to be materially different from any future results or performance expressed or implied in this presentation. You should not place undue reliance on these forward-looking statements. For additional information including a detailed discussion of our risk factors, please refer to the Company's documents filed with the Securities and Exchange Commission, which can be accessed on our website. I'd now like to turn the call over to Jon Stonehouse.
Jon Stonehouse: Thank you, John, and thanks to all of you for joining us this morning. 2019 continues to be an exciting year of progress for BioCryst. And we know you’re looking forward to seeing the 24-week safety and efficacy results from the APeX-2 study of oral BCX7353 for the prevention of hereditary angioedema attacks; we are too. And we remain very confident that we will report these results this quarter. We’re also on track to file our new drug application for the United States by the end of the year and our marketing authorization application for Europe in the first quarter of 2020. We meet regularly with HAE patients as we did a couple of weeks ago. And anticipation and demand we hear from them for an oral therapy is consistent and resounding. Many of these patients want the opportunity to live a normal life without the burden and discomfort of injections and infusions. As a company, we’re working everyday to deliver this important new treatment option to them because we know they’re waiting. This focus on driving our programs forward also extends to our other oral treatment programs, for acute HAE, complement-mediated diseases and FOP. Following the successful completion of our ZENITH-1 trial of 7353 for the acute treatment of HAE attacks in the first quarter, we are in the process of preparing for and conducting, our discussions on the Phase 3 study with regulators and expect to commence the Phase 3 ZENITH-2 trial this summer. On our earnings call last quarter, we announced that we were moving BCX9930, an oral Factor D inhibitor for complement-mediated diseases, into a Phase 1 trial. That trial is on track to begin this quarter, and we expect to have the results at the end of the year. We hope to get important PK and PD data from healthy subjects that will be very informative in guiding us through the remainder of the program. Our oral ALK-2 inhibitor for FOP is also on schedule to move into Phase 1 clinical trials in the second half of this year. When you add it all up, we see an attractive pipeline with a number of important milestones that we believe have potential to create significant value for patients and shareholders. Later, on top of that, our first launch of a highly differentiated product in 7353 into the marketplace and we see a very different and exciting BioCryst. Even though we believe the oral profile of 7353 will lead to a high number of HAE patients wanting to try it, we are taking nothing for granted as we prepare to commercial 7353. As we build out our team in key areas, our Company profile is attracting exceptional candidates with proven rare disease experience. And we have added some extraordinary talent to the Company across medical fair, market access, marketing, clinical and regulatory. Positive data from APeX-2 will only strengthen this, and will be a catalyst for us to continue building out the team in anticipation of a U.S. product launch next year. Now, I’d like to turn the call over to Bill who will walk us through our plan for analyzing and reporting APeX-2 results.
Dr. Bill Sheridan: Thank you, Jon. As related to data readout from ApeX-2 this quarter, we thought it would be helpful to review with you how we will approach the doctor [ph] analysis around the primary endpoints and the secondary endpoints in this trial. APeX-2 is a randomized, double-blind, placebo-controlled, three-arm trial testing two dose levels of orally administered once daily BCX7353, 110 milligrams and 150 milligram for prevention of angioedema attacks. 121 patients with Type I and Type II HAE were randomized from centers in the United States, Canada and Europe. As a reminder, the trial enrolled very quickly. In fact, it over-enrolled and with 121 subjects is powered at 99% to detect 50% reduction in attack rate versus placebo. To qualify for the trial, patients were required to have two investigator-confirmed HAE attacks during the running period of between 14 and 56 days from screening visit by a minimum rate of 1 per 28 days. In previous trials, the mean baseline attack rate was always much higher than the minimum requirement. We expect this will also be case in APeX-2 and that the mean baseline attack rate should be in the range of two to four per 28 days. The primary efficacy endpoint of APeX-2 is the rate of investigator-confirmed angioedema attacks over 24 weeks of study drug administration. So, the analysis will compare the on-study attack rates patients receiving 7353 at each dose level to the on-study attack rates of patients receiving placebo. As specified in the protocol and agreed with the regulators, the analysis will use a well established statistical approach called the Hochberg's step-up procedure. This controls familywise Type I error associated with multiplicity study arms and does not require specification of order of testing of the doses. In this procedure, each of the two dose levels of 7353 is tested against placebo for the primary endpoint. Statistical significance is met for both arms is both p values of less than 0.05. If the largest p value is more than 0.05, then in the other arm, statistical significance is declared if its p value is less than 0.025. In addition, hierarchical testing is used to control the Type I error rate for multiple endpoints. Testing may only proceed to the secondary endpoints if statistical significance is met for at least one dose for the primary endpoint. The secondary endpoints for the 24-week analysis of APeX-2 are in hierarchical order of testing, changed from baseline in the angioedema quality of life, score at week 24; the portion of days with angioedema symptoms through 24 weeks; rate of investigator-confirmed HAE attacks during dosing in the effective treatment period, beginning on day eight through 24 weeks. The secondary endpoints reached those levels that meet the primary endpoint tested in the order I just mentioned. Statistical significance of each test allows testing as the next secondary endpoint. If the single dose proceeds to the next level in the hierarchy, statistical significance at the next level in the hierarchy declared is p less than 0.025. In the absence of statistical significance, subsequent endpoints to that dose level are not tested. Following completion of the 24-week blinded placebo-controlled study period in APeX-2, subjects continue in an ongoing extension phase through 48 weeks. Patients initially randomized with placebos are re-randomized to receive one of the two 7353 doses in the extension phase, and patients initially randomized with 7353 continue on the same dose. Subjects in APeX-2 who complete 48 weeks with 7353 will contribute to the NDA long-term safety database of 100 patients. Our APeX-S long-term safety study also contributes to this total. Both of these studies continue to progress well. And we are on target for NDA filing by the end of the year and an MAA filing in the first quarter of 2020. As Jon mentioned, we are also on schedule to begin a Phase 3 study with our acute program in summer. And I would note that data from our Phase 2 ZENITH-1 trial will be presented at the upcoming C1-inhibitor workshop in Budapest in May and also at the EAACI Congress in Lisbon in June. Now, I’d like to turn the call over to Tom.
Tom Staab: Thank you, Bill. Our detailed first quarter 2019 financial results can be found in the press release we issued this morning and are summarized on slide eight. However, I’d like to highlight some information to help you assess and understand our future operations and financial statements for the remainder of 2019. From a financial perspective, the first quarter was relatively quiet and uneventful with the notable exception of extending our cash runway and enhancing our financial flexibility by closing a $100 million secured credit facility in February. This closing represented an enhancement of an existing credit facility and thereby provided us $20 million of immediate additional non-dilutive capital and the ability to draw another $50 million of milestone-based non-dilutive capital at our option. As a reminder, $30 million of this additional 50 is available following positive APeX-2 data which we consider sufficient to file a drug application. This modified credit facility provides us optionality and flexibility from a liquidity standpoint. In regards to cash and investments, we ended the first quarter of 2019 with a $121.6 million. We had a strong cash position to provide the resources to fund our development programs and continue our commercial preparation into 2020. Importantly, our cash runway extends beyond our APeX-2 readout later this quarter, as well as our NDA filing and Phase 1 readout for BCX9930, which are both expected to occur in the fourth quarter. As you can see on slide eight, revenue for the first quarter of 2019 increased $1.9 million to $5.9 million. This increase was largely due to the recognition of $1.7 million of peramivir product sales to one of our collaborative partners. These transactions are based on inventory management by our partners, and each partner’s overall forecasted demand for the underlying peramivir products. Importantly, these transactions do not recur routinely and are difficult to predict in regard to timing and magnitude. Accordingly, you should not assume these product sales will recur in future 2019 quarters. Regarding operating guidance, as noted on slide nine, we continue to expect net operating cash use to be in the range of $105 million to $130 million, and 2019 operating expenses to be in the range of $120 million to $145 million. As mentioned in our fourth quarter 2018 results conference call in March of this year, we continue to expect our R&D and G&A expenses to increase from 2018 levels due to the continued progression of all of our programs. Consistent with prior quarters, the Company’s operating expense range excludes equity-based compensation expense due to the difficulty in reliably projecting this expense as it is impacted by the volatility and price of the Company’s stock as well as by the vesting of the Company’s outstanding performance-based stock options. Lastly, with the modification of our secured credit facility, you should expect higher interest expense for 2019 because of higher debt balances than those in 2018. We have had an excellent start to 2019 and look forward to sharing the 24-week safety and efficacy results from APeX-2 with you later this quarter. That concludes our prepared remarks. And we’ll now take your questions. Ashley?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Brian Abrahams with RBC Capital Markets. Your line is now open.
Unidentified Analyst: Hi. This is Bert on for Brian. Thanks for taking our question. Can you give us any further clarity on when we might see the APeX-2 data in second quarter? And then, also you’ve previously cited 50% as the bar for attack reduction. How does your market research prior data, PK-PD mapping and OLE observation all shape your expectations for the readout and/or the threshold to try and meet? Thank you.
Jon Stonehouse: Sure. Bert, I’ll take that. So, no, we’re not giving any further granularity on timing other than to say it’s coming this quarter, so soon. And then, with regard to your question around 50%, I mean, the market research is really interesting. The preference for an oral drug is so strong that you can vary the efficacy up to 85% all the way down to 55% and see small changes in preferred share. So, the point we’re trying to make is, there is just a really, really strong demand for an oral drug.
Operator: Thank you. And our next question comes from the line of Jessica Fye with JP Morgan. Your line is now open.
Danielle Brill: Hi. This is Danielle for Jessica. Thanks for taking our questions. You mentioned in the prepared remarks, mean baseline attacks rates of 2 to 4 per 28 days in ApeX-2. Is that lower than what was observed in APeX-1? And given what sounds like less sick patients in Phase 3 versus Phase 2, how should we think about the on-treatment placebo response? Thanks.
Dr. Bill Sheridan: Yes. Hi. This is Bill. Thanks for the question. This study is 24 weeks long; APeX-1 was four weeks long. And the way the statistics work in study related accounting events is just have a certain number of events account in order to show a difference to placebo. So, we had six times longer opportunity. Even if the attack rate was much slower than the baseline attack rate that I mentioned, there’s a very high probability that we’ll see more than four events in 24 weeks. I'm not worried about that at all. It’s impossible to handicap the likelihood of placebo response in a study. It seems to vary a lot, depending on the conditions of the type of running and where the patients came from, what treatment they were on previously and so on. The analysis that matters of course is the on-study attack rate in placebo compared to the on-study attack rate in active. So, that’s the way we structured the study and the pairing.
Danielle Brill: And what endpoints are you considering for ZENITH-2 that could highlight differentiation of the product in contrast to currently available therapies in the acute setting?
Dr. Bill Sheridan: So, as Jon mentioned, we’re in the process of meeting with regulators on the design of the Phase 3 for the acute program. Its’ contentious, so there is no advantage for us to advertise what we might or might not be selecting for the primary endpoint of our Phase 3 at the moment. But we’re very, very pleased with the results of ZENITH-1. We’re very happy that it’s been accepted for presentation at the Biennial C1-inhibitor workshop in Budapest and also at the huge European allergy meeting, EAACI, that’s coming up. So, there’s tons of interest in this. This is a groundbreaking study in the context of acute treatment at time possible at the onset of symptoms. So, we’re thrilled with the results.
Jon Stonehouse: Yes. And I would add. So, without going into the detail what the endpoints are, since we haven’t agreed on with the regulators yet. What matters is that they go to work quickly, and I think that’s table stakes for any acute treatment, and then how long does it last. And the problem with the short half life drug is that there’s a data that’s come out recently that says that you got to redoes. And so with a really long half life like we have with 7353, we have a high degree of confidence that a single dose will manage an attack. So, we think that’s a fantastic profile and very competitive.
Operator: Thank you. And our next question comes from the line of Liisa Bayko with JMP Securities. Your line is now open.
Liisa Bayko: Hi. Thanks for the review of the statistical plan and all that. Can you maybe also just further comment on the adjudication of the attack, how will they be adjudicated to feeling sure that they are truly attacks versus other factors, what have you?
Dr. Bill Sheridan: Sure. Hi, Liisa. So, in Phase 3 trial, APeX-2, the procedure is that the patients, everyday record in a electronic diary, whether or not they had angioedema attack within the last 24 hours. If the answer is yes, then that information is notified automatically to the relevant site that is looking after that patient, and the investigator is charged with contacting the patient by telephone within approximately two business days to have a dialog and make an assessment and record the investigator assessment in the case record. That is what gets analyzed at the primary endpoint. So, because of that process, the investigator has the ability to understand the symptoms onset of the treatment, whether or not -- given whether or not the treatment had any effect, whether the symptoms were similar or not at experiences of the subjects and make assessment, taking into account conversation and all of that information. In our Phase 2 study, we have a panel of experts who are reviewing paper information in batches after the -- often months after the event. Obviously there is no possibility of interacting with the subject at all under those circumstances. So, it’s more difficult to make nuance judgment when you can’t do that.
Liisa Bayko: Okay. That’s very helpful. Thank you. Can you comment at all on kind of the proportion rollover on to the open label?
Jon Stonehouse: So, you will know that coming up soon. Obviously, this quarter when we have the analysis, then we’ll be happy to comment on that. I think that what I previously guided in terms of persistence on study through 24 weeks, these are demanding studies to patients. There are connected, the blood samples, ECGs, what have you. So, that’s not normal life. And you could -- an expectation of 10% to 15% drop out rate under those circumstances is reasonable.
Liisa Bayko: Okay. And then -- but, you’ve not commented on how many people, despite that rolled over on the open label?
Jon Stonehouse: Yes, because the study is still ongoing.
Liisa Bayko: Okay.
Jon Stonehouse: So, until we have the final results, that’s a really good time to tell you that information.
Dr. Bill Sheridan: It will be an interesting statistic.
Liisa Bayko: How important do you see the secondary endpoint?
Jon Stonehouse: Well, I think we carefully select secondary endpoints in pivotal studies because the objective here is to getting information that helps physicians and other healthcare providers assist the drug into label, and help in selection of therapy. So, for example, we had very strong signal for improved quality of life in our Phase 2 study. It’s actually getting to the label because we’re successful in the secondary endpoint analysis that would be very important.
Lynne Powell: This is Lynne here. Commercially, we’d be very excited at the quality of life data, could get in the label. What we saw in Phase 2 was incredibly impressive, and we’re looking that that would be replicated in this next study.
Operator: And our next question comes from the line of Gena Wang with Barclays. Your line is now open.
Gena Wang: Thank you for taking my questions. I also have a one question regarding APeX-2 trial. In Europe, there will be more patients with prior androgen use. Just wondering, do you stratify patients based on androgen use, any restriction in terms of the duration of the usage and wash out period?
Dr. Bill Sheridan: Thanks Gena for the question. So, it’ll be an interesting analysis as to whether or not the prior experience then can be different for subject entering in this study in North America versus Europe. Quite a lot of patients in the United States are still on androgens. So, obviously, it doesn’t appear in the market because that’s a generic drug. But, our estimates are that probably between 10% and 20% of patients with HAE in the U.S. are currently on androgens. And many, many, many patients that have prior experiences, and because that was all was available some years ago. So, it’d be interesting to see with this difference. I think, that the other main part of the equation was what our are entry criteria. There are no restrictions on prior therapies. There is a restriction on washout period for prior therapies and it’s 28 days as part of screening...
Jon Stonehouse: …stratification, do we do any?
Dr. Bill Sheridan: No, there’s no stratification on that basis. Our practice consistently in our prophylactic HAE studies has been to stratify on the basis of baseline attack rate.
Gena Wang: I just want to confirm, so the washout period will be 28 days, right?
Jon Stonehouse: Prior to screening. So, as I mentioned in my remarks -- yes, prior to screening, in my remarks, there’s a prospective running that’s compulsory, every single patient has to go through that and that can vary from two weeks to two months. Then, they have to make an appointment come for randomization. So, the actual duration if somebody stopped androgens a month before screening, the actual duration for prior to getting our drug could be up to three months, four months on a...
Gena Wang: I see. So, what’s the purpose for running case at a 14 to 56 days in a such wide range?
Jon Stonehouse: We chose the minimum period because we wanted to see some sort of consistency. And you have to put some maximum period on it, otherwise you are waiting for to see what the attack rate is, and you need to finish the study. So, having -- the opportunity to have a two attacks within 56 days, which is a minimum of 1 per 28 days as a rate.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Maury Raycroft with Jefferies. Your line is now open.
Maury Raycroft: Hi. Good morning, everyone and thanks for taking my questions. First question is just on 7353. And as patients continue on drug and cross over, the open label extension, what’s the longest duration patients have been on the drug?
Dr. Bill Sheridan: Across both studies we have people now out past a year.
Maury Raycroft: Got it. Okay. And then, as far as your statistical plan in the powering assumptions for the base or primary endpoints go, can you say what the low as the attraction reduction could be? And I guess, what your decision tree would be, based on something dropping lower than 50%?
Dr. Bill Sheridan: So, turning to the first question, we haven’t done any formal explorations. Obviously, it depends on the actual observed deviation in the data that we get. Certainly, it may well be probable possible to show a statistical significance for lower percent reduction in the attack rate.
Jon Stonehouse: Yes. And on the second half of your question around how low could you go, I mean, I think we’re kind of studying ourselves around a 50%. And if it was 48%, would we say no? Probably not. But I think that 50%, that’s a meaningful reduction in attacks for people, so somewhere in that area.
Maury Raycroft: Got it. So, it would still be -- so even if it’s at around 50% probably or if it goes below 50%, then you may not move forward at that point or come up with a different game…
Jon Stonehouse: Yes. I reserve the right to see the data and make that decision, because again we’d like to get the input of KOLs and the patient association and things like that. But, I mean the conversations we’ve had thus far have been incredibly encouraging down below 50% from those groups. So, that’s not our expectation. But your question, I think because it’s oral, the efficacy doesn’t have to be as high.
Maury Raycroft: Got it. Okay. And then, last question is just based on APeX-J starting. And I was wondering if any data from that study would be included in the U.S. filings. I know you’ve guided to having about 100 patients on each dose for 7353 included in your NDA filings. So, should we assume that you’re going to have about 200 patients total, or do you anticipate more patients than that?
Jon Stonehouse: So, just to be clear, all of the data from on safety that we currently have at the time, we got the data later this year, will be included in the NDA. So, there will be a minimum of a 100 patients worth of data through 48 weeks. APeX-J will be still blinded. So, that one contributes during the efficacy analyses to the NDA. That study is negotiated with Japan’s PMDA to have -- to complete the Japan development program and support of J…
Dr. Bill Sheridan: Yes. And I think with regard to your question of how many patients worth of data will we submit, what we need is a 100 patients at 48 weeks. If high dose looks clean, and we believe we’re going to file both doses, that’s enough for the filing, or we’ll just file the high dose. So, we have lots of options.
Operator: Thank you. And our next question comes from the line of Serge Belanger with Needham. Your line is now open.
Unidentified Analyst: Hey. Thanks, guys. This is Tan on for Serge. I just have a question about APeX-2. Is the safety expansion portion of that trial, is that also to be read out in 2Q 2019? And also the APeX-S trial, is that also part of the NDA submission for the 4Q 2019?
Jon Stonehouse: Yes. Do you want to take it?
Dr. Bill Sheridan: Yes. So, the analysis in the second quarter is the 24-week analysis of APeX-2. So, the answer to your first question is no. That’s the pivotal placebo control efficacy and safety, this kind of supports of the submission. The long-term safety follow-up will be ready later this year, and from both studies from APeX-S and APeX-2, and that will be compiled to submit in the NDA.
Operator: Thank you. And our last question comes from the line of Tyler Van Buren of Piper Jaffray. Your line is now open.
Tyler Van Buren: Good morning, guys. Thanks for the additional details on the statistical analysis. I guess, I just had a point of clarification. The Hochberg's step-up procedure, the analysis that was used in the TAKHZYRO and HAEGARDA pivotal trials?
Dr. Bill Sheridan: I’d have to look it up. It’s a -- so, there is a -- the Hochberg seems to be a way of controlling the multiplicity of having two arms instead of one versus placebo. And we view the lives in that way. The type of analysis of the data is -- and you can read this in the publication from the TAKHZYRO study. It will be very similar to that in terms of how you do the analysis, you can see events [ph] and the statistical approach as to how to analyze and compare accounts of events turning to rate. In Phase 3 trials, depends on whether or not -- it is maybe bit too technical, but depends on whether or not the distribution is over dispersed or not. If it’s over dispersed, [indiscernible] and if it’s not then proper. [Ph] So, I hope that helps you and all of that of course is agreed with regulators and totally standard.
Tyler Van Buren: Yes. That’s great. And updated thoughts on acceptable discontinuation rates for trial of this sort and this design?
Dr. Bill Sheridan: So the fact that over-enrolled gives us quite a bit of flexibility here, 10% to 15% drop out rate during the placebo controlled period is quite acceptable.
Tyler Van Buren: Okay. That’s helpful. And final question is, you guys have spoken about commercial preparations. So, assuming the trial’s positive, clearly coming in with an oral you have the chance to disrupt that’s really been dominating by a couple of players at a very high price. And I think there’s a level of physician frustration because of those market dynamics. So, can you -- again assuming the trial is successful, can you speak towards the commercial preparations and how you guys plan to approach the market with the product of this profile?
Lynne Powell: Yes, it’s Lynne. So, we have, as Jon said earlier, been actively recruiting in marketing, market access, medical affairs. We have been doing multiple pieces of market research to understand the market. And what we’re really tracking for is to really give patients and physicians what they want in terms of service and have the opportunity to try an oral therapy, which is what they tells as they want. So, in terms of pricing, what’s really improvement in pricing is to understand what our profile of drug is but we’re certainly entering into a situation with very high priced competitors. So, we’ll be looking at all options in terms of what we do with pricing.
Jon Stonehouse: Yes. And Lynne is being modest. She’s put a lot of energy and resource towards gathering data to be smarter than anybody in this space. And there’s a lot of switching going on right now with the other therapies that are being introduced. And so her team is analyzing the behaviors and what drives people to switch successfully and unsuccessfully, and then we’ll apply that learning to our launch plans. But, what’s great about this drug is that we are hearing from patients and physicians that the trial usage of this drug is going to be really high. So, the other thing Lynne’s team is doing is how do we keep them on the drug. And so, we’re getting really smart about that and putting in plans in place to be successful with that.
Operator: Thank you. And ladies and gentlemen, this concludes today’s Q&A session. I would now like to turn the call back over to management for any closing remarks.
Jon Stonehouse: Yes. So, as I said at the beginning, it’s just a really exciting time for BioCryst. We’re preparing for a very important filing of 7353 for prophylaxis. We’re preparing for the launch in the U.S., in Europe as well. And we’ll have the data soon, and we look forward to reporting it out to you. Have a great day.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude today’s program and you may all disconnect. Everyone, have a wonderful day.